Operator: Good morning and good evening. First of all, thank you all for joining this conference call and now we’ll begin the conference of the fiscal year 2007 second quarter earnings results by LG Philips LCD. (Operator Instructions) Now we shall commence the presentation for the fiscal year 2007 second quarter earnings results by LG Philips LCD. You can start your presentation now.
Daniel Kim: Welcome to LG Philips LCD’s second quarter 2007 conference call. My name is Daniel Kim and I am the vice president of investor relations. On behalf of LG Philips LCD I would like to welcome everyone to our global quarterly earnings conference call. I am joined by our CFO, Ron Wirahadiraksa and the Vice President of Marketing, Brian Kim. We have approximately one hour for this call. We’ll spend the first part of the call discussing the key issues for the quarter, which correspond to the slides available on our website. Afterwards, we’ll take your questions. Please do not hesitate to contact us after the call if you have further questions. Before we move into our discussion of the earnings results, you should be aware that this conference call may contain forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act and the Securities Regulations in Korea, including statements among others regarding LG Philips LCD’s expected future financial performance. You are cautioned that these statements may be affected by important factors, among others, set forth in LG Philips LCD’s filings with the U.S. Securities and Exchange Commission and in its second quarter 2007 earnings release. Consequently, actual operations and results may differ materially from the results discussed or projected in these forward-looking statements. LG Philips LCD undertakes no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise. Now, please take a minute to read the disclaimer. We are reporting in consolidated Korean GAAP with an appendix to this presentation that includes our reconciled U.S. GAAP numbers. I would now like to turn the call over to Ron.
Ron H. Wirahadiraksa: Thank you, Daniel. Good evening, ladies and gentlemen. Before we get into the details of last quarter’s financial performance, I want to first offer some observations on our business and the industry. LPL saw a strong turnaround in its second quarter in our financial performance, which was better than the previously stated guidance and likely an indication of our growth prospects moving forward. Our improved financial performance is a result of several factors. First, the programs we put in place last summer when we first introduced our profitable growth strategy is bearing fruit. Second, last quarter marked the second full quarter with our new management team in place. This team brings significant operating experience which has enabled us to meet many of our long-term objectives in an expedited manner. Finally, the reorganization we implemented last year focuses accountability directly on each business unit which can react more quickly, therefore, to changing market dynamics and energize their members. We are a company sharply focused on a customer-centric value over volume mindset. This philosophy drives all of our divisions and has been responsible for our continued focus on reducing cost, disciplined CapEx spending, smart and efficient capacity expansion, and maintenance of more prudent inventory levels. At the same time, we benefited from improved market conditions. A better and more healthy supply demand environment led to improved shipments and pricing for both the monitor and notebook segments. And in our TV segment, shipments also increased as pricing continued to stabilize. These are important dynamics that we will continue to keep a closed eye on as we go into the second-half of the year. Next slide -- sorry, I will just continue. Now let me take a moment and provide you with a bit more insight on the areas where we made improvements. In terms of cost reduction, we are focused on lowering purchasing price, developing lower cost models and process cost innovation. These activities resulted in a sequential decrease in COGS on a square meter basis. We also achieved a quarter-on-quarter COGS reduction of 12% and a cash COGS reduction of 8% per square meter in the second quarter. These cost reductions contributed to a better-than-guided EBITDA margin and we are now well-positioned to meet our objective of approximately 30% in cost reductions for 2007. In terms of capacity and investments, we continue to believe that our 2007 CapEx plan of approximately KRW 1 trillion reflects the current realities of the market. Our goal is to utilize part of that capital to expand P7’s design input capacity in the third quarter. This will also prepare us for the demand increase that is expected in the second-half of this year. In terms of supply, healthy channel inventory levels lead to a fairly healthy market in the second quarter of 2007. We expect the market situation to continue improving over the second-half of the year. Before we get into the specific financials, I want to say a quick word on our decision to cancel investment in gen 5.5 equipment. We currently believe that by improving input capacity and production excellence at existing facilities, we will be able to generate enough capacity to fulfill expected demand and to prepare for the fast-growing large LCD TV market, we are studying an investment in gen 8 equipment targeting ramp-up in the first-half of 2009 in our already constructed building. We will let you know at the appropriate time our progress on this investment. Please turn to the next slide. This is the income statement. Here are some details on our financial performance in the second quarter. Last quarter, revenue was KRW 3.4 trillion, up 23% sequentially from the first quarter of 2007. This sequential sales increase was due largely to the improved ASP, increase in shipments, and the overall strong market demand. Total COGS increased 10% quarter on quarter to KRW 3 trillion due to increased sales. As a result of our cost reduction strategy, COGS per square meter in U.S. dollars decreased 12% Q-on-Q and 35% year on year. In Korean Won, this represents decreases of 13% and 37% respectively. Cash COGS per square meter in U.S. dollars decreased by 8% sequentially and 34% year on year, which in Korean Won is 9% and 35% respectively. Quarter on quarter, our EBITDA margin increased 6 percentage points to 25% and net margin increased sequentially to 7%. Net income reached KRW 228 billion due to the positive turnaround in earnings before tax of KRW 124 billion and the change in deferred tax assets. Next slide. Cash and cash equivalents were KRW 1.2 trillion as of June 30, 2007. This represents a KRW 258 billion increase over the previous quarter. Overall, our finished goods inventory turnover levels for large panels remained steady from the first quarter of 2007 to this past quarter, around two weeks. TV inventory levels were just above three weeks, while IT remained at under two weeks. Total debt increased by KRW 0.3 trillion to KRW 4.7 trillion, mainly due to the convertible bond issuance in April. Our net-debt-to-equity ratio at the end of June 30th was 49%. Next slide. Cash flow from operations increased to KRW 388 billion. The increase was mainly due to the improved net income, which was largely offset by a reduced net change in working capital. Net change in working capital was reduced mainly by the increase in AR, which was directly affected by the increased shipments and also the reduction in our accounts receivable sales programs compared to the first quarter. Cash out based capital expenditures of KRW 512 billion was slightly higher than the first quarter of 2007 and consisted primarily of investment in P7. Delivery-based CapEx was KRW 244 billion compared to KRW 345 billion in the first quarter of 2007. Next slide. I now would like to provide more details about some of our key performance metrics. Turn to the next slide, please. During the second quarter of 2007, we shipped a total display area of 2.8 million square meters. This represents an increase of 26% sequentially, which can be attributed to the increase of TV shipments as well as from IT shipments. An average ASP per square meter of net display area decreased at a rate of 1% to $1,274. Total ending ASP per square meter increased 5% to $1,314, which can be attributed to a relatively healthy inventory level and strong demand. For the TV segment, average ASP per square meter in the second quarter decreased 2% while ending ASP per square meter increased also 2% -- sorry, let me say that again. For the TV segment, average ASP per square meter in the second quarter decreased 2% while ending ASP per square meter increased 2%. For IT, average ASP increased 1% and ending ASP per square meter increased 11%. Next slide, please. For the second quarter of 2007, the TV segment represented 47% of revenues, maintaining its position as the largest portion of sales. This was followed by monitors at 27%, notebooks at 21%, and other applications accounted for 5% of our revenues. Revenues in the TV segment improved, due as I said before to the increase of shipments in the second quarter. Although overall ASP and shipments in the IT segment increased, its share slightly decreased due to a higher portion of shipments in TV. Next slide. P7 successfully reached production input capacity of an average of 99,000 sheets per month during the second quarter, which was greater than previously communicated. Also, we are planning further ramp-up of P7 beyond its initial design input capacity of 110,000 sheets per month in the third quarter, expecting around 130,000 sheets per month on average. We believe that this capacity expansion will enable us to continue meeting the needs of our valued customers and better respond to the increasing demand of the 40-inch class LCD TV market. Next slide. Cash ROIC in the second quarter of 2007 increased from the first quarter of 2007 by 12 percentage points to 32%. This increase is attributable to a higher EBITDA margin and improved sales over invested capital in the second quarter. Next slide. I would like to now discuss our outlook. Next slide, please. For the third quarter of 2007, we anticipate total area shipments in square meters will grow by a mid-teens percentage sequentially due to the increased shipment in the LCD TV segment. With strong demand and the capacity expansion of P7, we expect TV shipments to increase by a high 20s percentage with an average ASP decline of a low single-digit percentage and a quarter ending ASP decline of a mid single-digit percentage. In the IT segment, we anticipate shipments to be flat, with an average ASP increase of a low-teens percentage and an ending ASP increase of a high single-digit percentage. Overall, we expect shipments in the third quarter of 2007 to increase by a mid-teens percentage, with an average ASP increase of a low single-digit percentage and ending ASP to remain flat. We will continue to drive our cost reduction strategies and expect our COGS reduction per square meter basis to be a mid single-digit in the third quarter. As said before, we also believe to be on track to achieve around 30% in cost reductions for the whole year. EBITDA margin for the third quarter 2007 is expected to be in the high 20s percentage range. Our forecast for 2007 CapEx on a delivery basis remains approximately the same, about KRW 1 trillion. Let me conclude by saying that our performance in the second quarter is very encouraging and underscores our ability to successfully deliver on the initiatives that we believe will restore profitability and make us more competitive in what has become a very crowded and more global environment. Even withstanding the many positive signs that we saw across both our company and the entire market this past quarter, we still have more to do and will continue to apply strategies that will further improve the fundamentals of our business. As we noted earlier, one good example of these tough decisions was our judgment to cancel the investment in gen 5.5 equipment and instead focus on ways to improve capacity at our existing production lines. We believe that decisions like this are directly aligned with the realities of the market and respond specifically to the needs of our customers. That is quite a change from only 18 months ago when volume was the name of the game in the industry. We look forward to continued improvement in the second-half of this year and while we realize that we will likely meet additional challenges, we are confident that we now have the right strategies in place to quickly and efficiently respond to the constantly changing market dynamics and to create additional value for our customers, employees and shareholders. We thank you for your continued support and confidence in LG Philips LCD.
Daniel Kim: This concludes our earnings presentation for the second quarter of 2007. We’d like to now answer your questions.
Operator: (Operator Instructions) The first question will be given by Chris Muse from Lehman Brothers. Please go ahead, sir.
Chris Muse - Lehman Brothers: Good evening. Thank you for taking my call. A couple of quick questions here. I guess first off, in terms of your decision to go ahead with gen 8 investment and I guess you are talking about the first half of ’09 ramp, does that suggest you’ll start ordering equipment say in 4Q07?
Ron H. Wirahadiraksa: We have decided to go into a gen 8 facility initially. We will have to study the substrate size, the capacity and also the CapEx amount. Having said that, it’s not very clear when exactly we’ll release POs. But as you know, we already built the shell for P8 where the gen 8.8 equipment will be housed. So if we look at that, usually from ordering to fab takes about six to nine months.
Chris Muse - Lehman Brothers: Considering that you already have the shell built, if you do see stronger-than-expected demand for 42-inch and above, could you see yourselves pulling in that gen 8 investment?
Ron H. Wirahadiraksa: We don’t think so. Of course, you know that the first-half of the year, there’s always some seasonality so we don’t feel that we need that capacity in the first-half of ’09. So we’ll start ramping the fab in the first-half, probably second quarter.
Chris Muse - Lehman Brothers: What does that mean for your CapEx plans for 2008?
Ron H. Wirahadiraksa: It will be higher than 2007 but we don’t feel that we will go to the ranges of let’s say KRW 3 trillion to KRW 5 trillion CapEx budget anymore, so we’ll probably be below that.
Chris Muse - Lehman Brothers: Switching over to your customers, you talked about pretty healthy panel inventory levels on the TV side internally. Can you talk about what you are hearing from your customers and inventory levels at TV makers?
Ron H. Wirahadiraksa: We feel that the inventory levels throughout the channel are still quite healthy. There’s been some increase but please bear in mind that previously, the previous quarter and also the beginning of this quarter, inventory levels were quite low. We think that by and large, TV inventories is around two months, which is very normal for this time in the season.
Chris Muse - Lehman Brothers: Great, and final question; I missed some of your comments on the P7 ramp. Could you go through that? I think you said 99K as of 2Q and I guess your target is 110K 3Q and 130K exiting the year?
Ron H. Wirahadiraksa: Yes, that’s correct.
Chris Muse - Lehman Brothers: Thank you.
Operator: The next question will be given by Chong Kim from CLSA. Please go ahead, sir.
Chong Kim - CLSA: Just in terms of your CapEx, if I look at your cash flow statement, it looks like you already spent close to KRW 1 trillion in the first six months of the year but your full year CapEx obviously is unchanged at a trillion. Is it too simple to believe that basically second-half of the year your CapEx outlays are going to come down significantly, basically go to zero?
Ron H. Wirahadiraksa: That’s a good question. The KRW 1 trillion is the delivery CapEx, as we also explained last quarter. The actual cash out is 1.7, so you should relate the almost 1 trillion you saw in this first half to the KRW 1.7 trillion.
Chong Kim - CLSA: Okay, so on a cash flow basis it’s actually 1.7 for this year?
Ron H. Wirahadiraksa: Yes.
Chong Kim - CLSA: Okay, understood. Just following up on capacity, it looks -- obviously your shipments did very well, much greater than what your capacity did in the quarter. Even if you have your ramp to 110,000 substrates per month on gen 7, what will your capacity growth be quarter on quarter, because you are targeting mid-teens? So can we see the same type of shipment growth outstripping your capacity growth, is what I’m getting at.
Ron H. Wirahadiraksa: Well, of course the base is now higher, so probably quarter on quarter, it will be down a little bit. Also, depending on the success of the further ramp of P7, so overall for the year we expect shipments to grow by about 55% to 60%.
Chong Kim - CLSA: But the capacity in the third quarter, what do you anticipate will be the change Q-on-Q?
Ron H. Wirahadiraksa: Give me a second. It’s around 12%.
Chong Kim - CLSA: It’s around 12%, is it?
Ron H. Wirahadiraksa: Yes.
Chong Kim - CLSA: All right. Thank you very much.
Operator: The following question is by Evan Erlanson from Bear Stearns. Please go ahead, sir.
Evan Erlanson - Bear Stearns: Thank you very much. I’m just wondering, regarding the plans to, or the studies of 8G fab versus a 7.5G fab, which I think was also considered, what are the pros and cons do you think of going with either solution and what specifically makes you more confident on the choice of 8G than perhaps you were previously?
Ron H. Wirahadiraksa: First of all, as you know, we now are in a kind of follow mode. We’re not taking the lead, so the equipment will already have been basically by and large tested, proven, and probably will have some economic benefits from that. We also will have a chance maybe to do some more technological renewal in the equipment, like printing technology, things like that. Also, the gen 7 is not optimized for 52-inch and that is a segment that of course we also are going to have to address -- not very aggressively, but we want to be in that segment once the initial -- how shall we say -- the initial hands-on with PDP is basically over.
Evan Erlanson - Bear Stearns: Okay, and also on the cash COGS front, you spoke last time about, on the last earnings call about being relatively confident that glass pricing per square meter was going to be starting to come down in Q2 and for the rest of the year and we had already seen some indications that backlight units were coming down on a per square meter basis. How did that actually progress in Q2?
Ron H. Wirahadiraksa: Actually, our focus was pretty good, specifically with Asai and NEG. But with other glass suppliers, we met some resistance so we are now discussing how to go about that.
Evan Erlanson - Bear Stearns: Thanks very much.
Operator: The next question is by Andrew Abrams from Avian. Please go ahead, sir.
Andrew Abrams - Avian Securities: I wonder if you could break down the cost down this quarter and maybe talk about how much came from P7 and higher utilization there versus redesign or change in procurement, and also if you could break down panel sizes that are being produced at P7 currently.
Ron H. Wirahadiraksa: In terms of cost down this quarter, still a lot came from the purchasing side. Of course, P7 became also slightly more productive with a higher CCF and a higher capacity consolation and that helped. Other cost down elements have been in the area of overhead, which we have been reducing quite significantly on a square meter basis and the same goes for labor. As you know, we basically let go of about 500 people and we are reviewing the optimal size consolidation of our workforce. On the overhead side, we have taken very strong measures that will be ongoing in the second-half of this year so we expect also a little more from that.
Andrew Abrams - Avian Securities: Could you break down what came out of P7 in terms of panel sizes -- how you are skewed toward the larger and smaller panel sizes there?
Ron H. Wirahadiraksa: Daniel will answer that.
Daniel Kim: Monitor, mainly 19 inches, was about 16% in terms of its area and the rest of them was TV. All the TV, out of the total 42 inches, about half of it and in about 15% range was 47 inches, and the rest are smaller panels, such as 32 and 20 inches.
Andrew Abrams - Avian Securities: Thank you.
Operator: The following question will be from [Larry Miller] from [inaudible]. Please go ahead, sir.
Larry Miller: Good evening and thank you for taking my question. If you could put a little more color around the factors, the levers that drove the cost reduction on the COGS side. Could you quantify how much of the improvement came on the purchasing side and how much came from better utilization? If I recall, last year P7 was not at a manufacturing production capacity. If I gather you achieved that this quarter and if you could colorize how much of, if you could say how much came from purchasing and how much from better utilization.
Ron H. Wirahadiraksa: What we said before for the overall year, we have said about half, a little more than half comes from purchasing, about 35% from what we call development CI, newer low-cost models, and the rest, about 15%, 20%, from process innovation. We also said the first-half, the emphasis is more on purchasing. Of course, P7, as I said in answer to a question before, also had had a higher productivity but I would catch that under process innovation. We think once we go beyond the 90, 110,000 into 130,000, that will probably contribute much more. So the second half, we should see much more out of the uploading of lower cost models and of the process innovation. We have started an initiative, what we call max cap, min loss, so we are looking to reduce as much as possible the waste and waiting and unproductive time and expanding the theoretical capacity of the fab as much as possible. That is included in the cost innovation of process for the second-half of the year. I think most of it is purchasing and to a certain extent development, and a little less on process innovation in the first-half.
Larry Miller: That’s very helpful. On the purchasing side, could you quantify on a percentage basis what the total display drivers are for the bill of materials?
Ron H. Wirahadiraksa: I think about 12%. If you give me one second, I’ll look that up for you. It was around 10%.
Larry Miller: Is that up or down significantly sequentially in the quarter?
Ron H. Wirahadiraksa: No, it’s almost the same.
Larry Miller: It’s about the same?
Ron H. Wirahadiraksa: Yes.
Larry Miller: You talked about supply and you talked about inventory being very well-managed and you gave some good color on the supply -- finished TV goods at the television companies at about eight weeks. Does that compare favorably to where we were a year ago or is that -- I know we’re going to be heading into the stronger second-half.
Ron H. Wirahadiraksa: Maybe it more or less could be the same, because largely around this time, the main inventory problem was at the LCD panel makers. I think there was also some higher inventory but I don’t think it was a lot, actually, at the set makers.
Larry Miller: You said that your finished goods for TVs was three weeks?
Ron H. Wirahadiraksa: Three weeks, yes, and IT was under two weeks.
Larry Miller: Thank you very much.
Operator: The next question is by [Parnef Zarma] from Daiwa Securities. Please go ahead.
Parnef Zarma - Daiwa Securities: Thank you for taking my questions. I have a couple of questions. The first one is on your cost down side. You have just guided about mid single-digit cost down for the third quarter. Does it mean like your purchase related, whatever the cost down you can do more or less over by second quarter?
Ron H. Wirahadiraksa: Actually, we have pulled up a lot of the purchasing cost innovation by giving a very strong push and very active dialog with our suppliers. So it is true that the second half probably, as I said in an answer to one of the previous questions, second half purchase cost innovation will be a little less. However, we are now at the stage with suppliers on an initiative that we have communicated I think one or two quarters ago also, to get more into what we call win-win situations, where we try to get on our suppliers’ learning and experience curve and together find out how to improve the business in a much more mutually productive dialog. The results of that remain to be seen. We have some expectation but it is too early to give exactly the direction for that. So overall, as we said last quarter, cost down will be 25% to 30% but this quarter, we guided for closer to 30% on a yearly basis. Yes, purchasing was pulled up a bit. It will be a little bit lower in the second-half, that is correct but there are other initiatives also coming on.
Parnef Zarma - Daiwa Securities: Do you have some more room to use more vendor from Taiwan versus Korea going forward, or is Taiwan vendor, whatever you can do you have already done that?
Ron H. Wirahadiraksa: I think with some of the suppliers, we are still on a learning curve but we have increased back light sourcing from Taiwan, for example, and also some other materials. So we feel we’re on a good track there. As you know, back light is the most expensive part in the bill of materials so we are looking at constant ways to reduce cost there.
Parnef Zarma - Daiwa Securities: The second question is on the gen 8 side. Since you are on a follower mode, do you have to follow the same substrate size Samsung is using now or you can decide for a different substrate size?
Ron H. Wirahadiraksa: Theoretically, we could decide on a different substrate size but we are really looking at what is the best way forward and perhaps we can think about standardizing on the same size. That remains to be seen. As I said, we have not finalized substrate size yet but this is certainly a consideration.
Parnef Zarma - Daiwa Securities: Because there was some talk like Korea, the display area industry wanted everybody to standardize their product.
Ron H. Wirahadiraksa: I’m not sure if that was the discussion but yes, there is an initiative ongoing to make the display industry in Korea more competitive by let’s say mutual cooperation. If that would lead to the same glass substrate size, that remains to be decided but we are considering that also in thinking about gen 8.
Parnef Zarma - Daiwa Securities: Okay, I’ll leave out a few questions. Thank you.
Operator: The following question will be given by [Jeffrey Totter] from ABN Amro. Please go ahead, sir.
Jeffrey Totter - ABN Amro: Can you hear me?
Ron H. Wirahadiraksa: Yes, we can hear you.
Jeffrey Totter - ABN Amro: Sorry, I couldn’t get through. Thanks for taking my call. I have a couple of questions on CapEx and capacity and then one on strategy. Just for the CapEx numbers, you talked about -- I think you mentioned earlier that next year’s CapEx would be higher than this year. Is that correct?
Ron H. Wirahadiraksa: That’s correct.
Jeffrey Totter - ABN Amro: Is that on a delivery or a cash out basis?
Ron H. Wirahadiraksa: That’s on a delivery basis.
Jeffrey Totter - ABN Amro: On a delivery basis, okay -- and can you just quickly explain the difference between delivery and cash out for CapEx?
Ron H. Wirahadiraksa: Yes, that’s a very good question. Delivery is what we take to the balance sheet, so what we want to guide you for in CapEx is how much we are actually adding to our fixed asset base. Cash out is a different thing, actually the cash outlay. The main difference comes from equipment on credit. If you look at last year, to maybe elaborate a little further, if you allow me, we had CapEx of a little under KRW 3 trillion, but the cash outlay that we made was below that, so it was around -- at about KRW 3 trillion. We had a lot of equipment on credit. But this year, our CapEx delivery budget is much lower. This means we are also ordering, taking off less capital equipment. That means the equipment on credit at the end of the year is also much less. Basically, that different in accounts payable for equipment is the difference between CapEx out and delivery basis. Did I clarify it for you or did I make it more complex?
Jeffrey Totter - ABN Amro: I understand what you are saying. It’s basically when you make an order, it becomes an account receivable and you haven’t paid the funds yet so it doesn’t hit your balance sheet. It’s equipment that you’ve already ordered. Is that a way of thinking about it?
Ron H. Wirahadiraksa: It’s an account payable. It’s partly right. So it’s an account payable that hits the balance sheet but it does not hit cash out yet so you make the payment later.
Jeffrey Totter - ABN Amro: Right, okay. So it’s kind of the total amount that you have on order during a period.
Ron H. Wirahadiraksa: Basically it’s the amount that’s invoiced to you but that we still have to pay.
Jeffrey Totter - ABN Amro: Okay, and then you said that the number would increase next year on a delivery basis.
Ron H. Wirahadiraksa: The CapEx number on the delivery basis is increasing further this year because we are reckoning with the fact that we are going to go into a new fab, wherever that may be. As you know in this year, there is no CapEx for a new fab included.
Jeffrey Totter - ABN Amro: Got it. Okay, and for your third quarter capacity at P7, that’s 130K?
Ron H. Wirahadiraksa: Third quarter is 130, yes.
Jeffrey Totter - ABN Amro: Third quarter is 130 and 130 is maximum?
Ron H. Wirahadiraksa: Well, that remains to be seen. I don’t want to get very difficult but we are studying on ways to also experience with the new initiative on max cap and minimizing losses to see how much more we can squeeze out of P7.
Jeffrey Totter - ABN Amro: If we’re thinking about next year’s capacity, P7, maybe you can get a little bit more of that and the rest of the fab seem to be fairly -- you’ve been squeezing additional output out of those, I guess for a couple of quarters. What increase in capacity would you expect next year, assuming that the 8G fab comes online in ’09?
Ron H. Wirahadiraksa: Capacity remains to be seen but in terms of shipment, we expect to grow in line with the market next year.
Jeffrey Totter - ABN Amro: And that would be a 20% increase?
Ron H. Wirahadiraksa: I think a little higher, maybe mid-20s.
Jeffrey Totter - ABN Amro: Okay, great. On the strategy side, just looking at some of the comment from the -- that our people who went to the local meeting had written down and I think you made some comment about vertical integration. Would you elaborate on that a little bit?
Ron H. Wirahadiraksa: This is what we call reviewing how we should adapt the business model for future profit sustainability and its in a very initial stage, but we are reviewing what is the best way forward, as the CEO said at that conference on both ends, basically the front-end and the back-end of our operation.
Jeffrey Totter - ABN Amro: Okay, so that means that you might consider going into physical product in the end market, TV, notebook -- maybe not, maybe TV and monitor. I don’t know if you get into the notebook business, and perhaps vertically integrating into component supplies?
Ron H. Wirahadiraksa: TV may be a little more difficult, but maybe some of the commoditized monitor side. That will be possible. But again, nothing has been decided. We are basically considering that right now.
Jeffrey Totter - ABN Amro: Okay.
Ron H. Wirahadiraksa: Okay, thank you.
Jeffrey Totter - ABN Amro: That’s great. Thank you very much.
Operator: The next question will be given by Chong Kim from CLSA. Please go ahead, sir.
Chong Kim - CLSA: Just a follow-up question on the PC related shipments for the third quarter. You are guiding for flat volume growth in IT. Is that a function of demand? I would have thought seasonality was more biased towards growing into the third quarter for volume. Or is that really just a function of supply, your capacity in the more IT devoted substrate sizes not growing as fast?
Ron H. Wirahadiraksa: Your second -- I think you have hit correctly in the second point. As for the IT production capability, we have -- until we can come up with additional capacity out of our max cap, min loss program, we have come to almost the limit of what we can produce. So in the third quarter, the limitation in the growth in the IT products, it reflects the amount of capacity that we can utilize for IT products.
Chong Kim - CLSA: Sure. My last question is for you, Ron; given on the CapEx on an outlay basis, it’s still going to come down into the second-half of the year and you have obviously an operating conditions are improving second-half versus the first. So I think it’s probably straightforward that your cash position will probably improve dramatically into the next six months of the year. As the CFO, what are your first priorities in terms of those cash outlays, that cash build, given that your balance sheet still is actually quite -- the debt position is not that burdensome? The other thing is in terms of your -- obviously everybody talks about the Philips overhang. Is there any possibility, maybe not immediately or in the second-half of the year, that 12 months out as your cash balance continues to improve, is a buy-back potentially something in the cards?
Ron H. Wirahadiraksa: Well, thank you. That’s actually a very good question. It is true that our cash position will improve. It’s a very correct observation. The results improve, operational cash flow improves, and the CapEx is going to be a little bit less in the second half, so we will be free cash flow positive probably Q3 and also Q4. What are we going to do with the excess money? The first priority is on repaying debt. You have said maybe debt is not so burdensome, but our net-debt-to-equity ratio is still 49% and you know maybe from earlier communications that our preferred state would be around 33%. But even having the experience of last year, we wonder if the 33% is the optimal level. When we look more at high-tech companies, best tier companies, their seems to be a tendency for negative net-debt-to-equity, so we are now reviewing what is basically the best net-debt-to-equity moving forward. Should we stay at 33% or should we even improve further in the environment that we’re in? So first is the repayment of debt. We think that is necessary. Second is, of course, we need to keep some money for a strategic investment in most likely, as we said, the gen 8 facility. It remains to be seen how much debt is going to be. Probably things like share buyback, I would not expect that to be coming within the next two years at this moment. Those thoughts could change but this is how we view it at this moment.
Chong Kim - CLSA: Thank you.
Operator: The following question will be given by Luke from JP Morgan. Please go ahead, sir.
Luke Shimshock - JP Morgan: It’s Luke Shimshock at JP Morgan. Could you just clarify for me your capacity and demand outlook for this year and next year? What I gather, I thought I heard earlier that you said this year, you expect 55% to 60% growth and I assume that’s area growth for panels, but maybe I misheard that. And then I heard for next year, 20%. If you could just help me understand how you will grow your capacity, particularly next year, given that your new plant really doesn’t come on until ’09.
Ron H. Wirahadiraksa: Let me first clarify for you -- it’s almost spot-on. It’s 55% to 60% square meters shipment growth. That is basically what that is. And what I said is for next year, we’re probably going to look at mid-20s growth in line with the industry as we expect now. So mid-20s, that is to be achieved by further ramping existing fabs. We think maybe mainly P7 and also P6 to a certain extent. This is taking into account that we expect some benefits from the reduced loss of waiting and idle time, and squeezing out more capacity to maybe better line balancing and other techniques we want to apply. Those plans have been chiseled out yet. There’s many ideas going on but we feel we will be able with that to grow in line with the total market.
Luke Shimshock - JP Morgan: If I could just follow up, what that means is it is not a substantial investment in equipment but rather more tuning and not increasing the footprint of the existing lines. Is that correct?
Ron H. Wirahadiraksa: By and large, yes. Although with line balancing, if you have some bottleneck equipment, we could add some additional equipment but real big footprint increases are not foreseen. That’s right.
Luke Shimshock - JP Morgan: Thank you.
Operator: The next question will be given by Chris Muse from Lehman Brothers. Please go ahead, sir.
Chris Muse - Lehman Brothers: Thanks again. A quick follow-up for you; when you look at the second-half of the year, can you comment on how you see your TV mix shifting in terms of size?
Ron H. Wirahadiraksa: We believe that in the second-half on the 42-inches, the larger size will continue to be quite strong and especially in the second-half, what we will be focusing on would be more in the full HD definition of our larger size TVs. Therefore, 42-inch full HD, 47-inch full HD, and also we’ll be developing and producing 37-inches in full HD definition.
Chris Muse - Lehman Brothers: I think on your last call you suggested that 20% of the mix would be full HD. Is that number still good or could it come in better than that?
Daniel Kim: It should be around that number, yes.
Chris Muse - Lehman Brothers: Okay, great, and how about for 120 hertz panels? What percentage of the mix will that come in?
Ron H. Wirahadiraksa: We are at the closure of that development and we’ll be going into production with it. Most of our full HD resolution will be incorporating that 120 hertz technology in there.
Chris Muse - Lehman Brothers: Thank you.
Operator: (Operator Instructions) The last question is by Oliver Lee from Alliance. Please go ahead, sir.
Oliver Lee - Alliance Capital: Can you actually give me some color about the average size of the TV monitor and notebook in the second quarter?
Ron H. Wirahadiraksa: Mr. Brian Kim will answer that question for you.
Brian Kim: Yes, we have seven of product, the monitor in 17-inch and 19-inch wide and 19-inch normal, and 20-inch wide and 22 wide, and now we are preparing 24 wide. In the notebook case, we have 14.1 wide and the 13.3 wide, and the normal 15-inch and 15.4 wide and the 17.21-inch wide.
Daniel Kim: Oliver, if you are asking for the average size of each product segment --
Oliver Lee - Alliance Capital: Yes, average size.
Daniel Kim: Then I would say in the monitor segment, it would be around 19-inches or 19-inches normal and 19-inches wide. Notebook would be 15.4 inches wide, because it’s the majority of it, and TV in terms of area probably -- it will be between 32 and 37-inches.
Oliver Lee - Alliance Capital: Okay, and my second question is how is the percentage of the full HD right now in the second quarter and your projection for the third quarter and fourth quarter?
Ron H. Wirahadiraksa: Full HD, as Daniel said before, will be about 20%.
Oliver Lee - Alliance Capital: 20% for the whole year?
Ron H. Wirahadiraksa: Yes, about 20%. Actually, this quarter it is already increasing to around -- it goes to a little below 20%. We had a big increase from Q1 to Q2 and in Q3, it will probably go to around 30% so the average for the year is a little over 20%, as we said before.
Oliver Lee - Alliance Capital: Okay, my last question is how’s the profitability for the P7, below the corporate average or pretty much in line?
Ron H. Wirahadiraksa: The profitability of P7 -- actually, P7 has broken even in the last quarter. We are very happy with that but overall, they are still behind the other fabs but we expect it will be significantly increasing with the initiatives that we are taking.
Oliver Lee - Alliance Capital: Thank you very much.
Operator: The following question will be given by [Chun Kun] from [Neversa] Capital. Please go ahead, sir.
Chun Kun - Neversa Capital: I’ve got two questions. The first question relates to your working capital, which I think had quite a significant impact on your cash flow in this quarter. You talked a little bit about it earlier. I just wanted to -- I wonder if you could elaborate a bit more and if you expect to see this reversing in the second-half of the year.
Ron H. Wirahadiraksa: Yes, that’s a good point. As I said, mainly of course we have grown the sales quite strongly and we have also reduced the use of accounts receivable sales programs. Those are basically the two main reasons. We think with the increased sales expectations for Q3 that this amount in receivables will tend to go up. Also, we will probably further -- a little bit further more reduce the use of AR programs so the number will tend to go up. I don’t know exactly how much it will be. It may be less than this quarter.
Chun Kun - Neversa Capital: Basically the AR programs that you were using in the past, were those -- I presume those came at a cost, which is why you are planning on reducing them from now.
Ron H. Wirahadiraksa: Yes, although the cost was by and large almost at par with the funding cost, but we have a preference to basically not use those programs in times of high liquidity.
Chun Kun - Neversa Capital: Second question just relates to your CapEx again. Do you have an estimate of how much it would cost to equip the 8 fab with gen 8 equipment?
Ron H. Wirahadiraksa: At this moment, we’re not sure about that. As you know, we already constructed the building so the equipment and part of the clean room is what we are studying on right now. We hope the number will be -- it also depends a bit on the capacity that we are going to -- will be there, but let’s say comparable. We hope it will be below the gen 7 equipment cost. Certainly on a CapEx efficiency, the CapEx divided by the square meters of input sheets, that ratio, we expect to improve that too.
Chun Kun - Neversa Capital: Okay, thank you very much.
Operator: The next question is by [William Len] from [Investco]. Please go ahead, sir.
William Len - Investco: I don’t know if I missed this earlier but earlier in the year you were saying that you expected the Philips stake to come down to the 20% area soon after their lock-up ended. I was just wondering if you had any update on that. I have a second question as well.
Ron H. Wirahadiraksa: We don’t have an update on this. We at this moment do not know of any specific plans. Of course, we try to keep the dialog going and the favor is -- we favor a strategic partner and that there is still possibilities of that taking place, maybe not for the whole stake but maybe for the part or part of the part that Philips is going to sell. But at this moment there is not a real update to be given.
William Len - Investco: Secondly, just on the vertical integration that you were talking about earlier, could you just go into a little bit more detail on why you are thinking about that at this stage?
Ron H. Wirahadiraksa: For example, we have a joint venture in gen 7 glass with NEG. That joint venture is called Paju Electric Glass. We have actually very good experience in working together on getting costs down and also the uninterrupted supply. There are maybe more areas where we would have to seek further engagement on the front or back end side of the business to get benefits. We don’t expect in the short-term any very big impact from that but at this moment we are, as I said earlier, studying what is the best way for LPL to construct its business model for sustained profitability going forward. Those discussions are now in progress.
Daniel Kim: We have just time enough to take one or two more questions.
Operator: (Operator Instructions) Currently there are no participants with questions.
Ron H. Wirahadiraksa: If there are no more participants, maybe it’s a good time to close the call. Daniel.
Daniel Kim: On behalf of LG Philips LCD, we thank you for participating in our second quarter earnings conference call. Should you have any further questions, as I said, please contact us, either myself or my colleagues. Thank you for your participation. Thank you.
Ron H. Wirahadiraksa: Thank you.